Operator: Good morning. My name is Chad and I'll be your conference operator today. At this time, I would like to welcome everyone to the Novanta Incorporated 2019 First Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Ray Nash, Corporate Finance Leader. Please go ahead.
Ray Nash: Thank you very much. Good morning and welcome to Novanta's First Quarter 2019 Earnings Conference Call. I am Ray Nash, Corporate Finance Leader of Novanta. With me on today's call is our Chief Executive Officer, Matthijs Glastra and our Chief Financial Officer, Robert Buckley. If you've not received a copy of our earnings press release issued today, you may obtain it from the Investor Relations section of our website at www.novanta.com. Please note this call is being webcast live and will be archived on our website shortly after the call. Before we begin, we need to remind everyone of the safe harbor for forward-looking statements that we've outlined in our earnings press release issued earlier today and also those in our SEC filings. We may make some comments today, both in our prepared remarks and in our responses to questions that may include forward-looking statements. These involve inherent assumptions with known and unknown risks and other factors that could cause our future results to differ materially from our current expectations. Any forward-looking statements made today represent our views only as of this time. We disclaim any obligation to update forward-looking statements in the future, even if our estimates change. So you should not rely on any of these forward-looking statements as representing our views as of any time after this call. During this call, we will be referring to certain non-GAAP financial measures, a reconciliation of such non-GAAP financial measures to the most directly comparable GAAP measures is available as an attachment to our earnings press release. To the extent that we use non-GAAP financial measures during this call that are not reconciled to GAAP measures in the earnings press release, we will provide reconciliations promptly on the Investor Relations section of our website after this call. I'm now pleased to introduce the Chief Executive Officer of Novanta, Matthijs Glastra.
Matthijs Glastra: Thank you, Ray. Good morning everybody and thanks for joining our call. Novanta performed very well in the first quarter of 2019, delivering on both our revenue and profit promises to our shareholders. Our company delivered $157.2 million in revenue, representing 7% year-over-year revenue growth on both a reported and organic basis. Our adjusted earnings per share was $0.53, which was up 13% from $0.47 last year. Adjusted EBITDA was $28.2 million. We remain confident about the positioning of our businesses around secular macro growth drivers with over half of our revenue in medical markets that are structurally growing. We continue to see a long-term trend and need for motion vision and photonics capabilities in a large variety of applications on the back of macro trends of Industry 4.0, precision medicine and healthcare productivity. Particularly, we remain excited about our position in applications such as robotic surgery, minimally invasive surgery, DNA sequencing, advanced material processing and precision automation and robotics. In the first quarter, we continued to see solid momentum and success in our efforts to penetrate high growth markets and introduce new innovations to our customers. New product revenue for the first quarter grew over 20% year-over-year. Our Vitality Index, which is revenue from new products launched in the last four years remains well above 20% of sales for the first quarter. Our first quarter design wins increased by over 50%, with broad-based design win growth in all of our operating segments. All in all, we had a very strong performance by our team in the first quarter as we continued to see the early benefits of implementing our Novanta Growth System driving sustained growth and operating performance. Now, let me touch on what we're seeing in our markets in the overall macroeconomic climate. Our medical markets are very robust. We sold double-digit growth in our medical business in the first quarter and expect that momentum to continue for the full year of 2019. Momentum is broad based, but we are particularly pleased with our momentum in robotic and minimally invasive surgery. I would also like to point out that we're achieving double-digit growth in our medical markets despite a temporary double-digit year-over-year decline in DNA sequencing due to customer launch dynamics, which we have previously reported on. Representing over 50% of our revenue, we expect our medical business to serve as our growth engine in 2019 in an uncertain macroeconomic climate. On the opposite side of the growth spectrum is the microelectronics market, which has been widely reported to be down double digits. We saw an overall decline of 20% year-over-year in the first quarter. And while at 10% of our revenue this is a modest part of our portfolio, it's a noticeable headwind, which we expect to persist for most of 2019. We grew mid-single digits in our industrial markets in the first quarter but see momentum slightly softening for the remainder of the year as the China wait-and-see mentality and trade uncertainty is spreading to the rest of Asia and Europe, creating uncertainty across industrial capital spending markets. However, so far this uncertainty is not broad based. For example, we're seeing nice double-digit growth momentum in laser additive manufacturing, where we are growing share on the back of good market momentum. Finally, our China growth is mirroring the overall market dynamics I just explained. Our sales into China declined by low single digits year-over-year in the first quarter, but our medical and industrial businesses sales were up mid single digits whereas our microelectronics sales were down double digits. As a reminder, China's -- Novanta's revenue to China is relatively modest at approximately 10% of sales. Now let me turn to our operating segments. Our Precision Motion segment had 11% year-over-year revenue growth. We continue to like our position in precise and dynamic motion control technologies, serving multiple markets with structural growth dynamics such as precision automation, robotics, metrology and robotic surgery markets. In April, we completed a small tuck-in technology acquisition of a company called Ingenia. This start-up business is a fantastic addition to our precision motion technology portfolio. Ingenia provides OEM customers with customized motion control solutions on high performance, high power servo drives. Ingenia is one of the first companies to offer customers next generation servo technologies based on gallium nitride technology, or GaN, which enables ultra small form factors and footprint with an order of magnitude, lower heat and less weight. Ingenia's GaN based motion control solutions allow for close integration of our precision motors and encoders with Ingenia's controls reducing weight and size. We believe this is particularly critical in precision robotics and automation applications. While the business is small, the Ingenia acquisition is a strategically strong step forward in developing and selling intelligent subsystem solutions to our customers, positioning us well to capture opportunities in these high-growth application areas. Within the Precision Motion segment for the first quarter, our design wins grew 50% versus last year as we bring new innovations to market and are expanding our commercial teams. Precision motion book-to-bill was 0.93 in the first quarter due to the microelectronics market softness that we mentioned earlier, partly offset by fantastic momentum in robotic surgery. Turning to the performance of our Photonics segment. Revenue was down 4% driven mainly by Laser Quantum. As we indicated before in prior calls, the Laser Quantum business is facing challenging year-over-year comparisons after a customer's launch of a new product in the DNA sequencing market in the prior year. Laser Quantum revenue in the first quarter declined double digits year-over-year as expected. This is an event we expect to repeat in the second quarter of 2019, but we do expect the business to return to growth in the second half of 2019. As a reminder, this lumpiness in sales is related to temporary customer launch dynamics in DNA sequencing, which is unrelated to end market growth. In fact, we couldn't feel more excited about the long-term growth prospects of this business as DNA sequencing is still in the early stages of penetration into clinical applications with numerous positive catalysts on the horizon. In addition, we feel we're in now securely position on multi-generational platforms in this space. The performance of the Photonics segment was also impacted by some of the macroeconomic headwinds in industrial capital spending markets that we just discussed and which our Synrad business is particularly sensitive to. The medical end markets we serve in the Photonics segment saw sales growing at strong double digits when excluding the temporary dynamics of DNA sequencing. For the first quarter, new product revenue in Photonics was robust well above 20% of sales. Design wins also grew year-over-year and total Photonics revenue from China for the first quarter grew mid single-digit year-over-year despite the challenging macroeconomic climate. We're pleased to see continued growth execution in our Cambridge Technology business, which still delivered solid mid-single digit revenue growth year-over-year in the first quarter, despite market challenges. We are winning due to our proprietary beam steering technology packaged with customer or application-specific solutions enabling our customers to win with the fastest, most accurate and highest performing solutions. Turning to our Vision segment, which was the growth star this quarter with strong momentum carrying into the rest of the year. For the first quarter, our Vision segment delivered excellent 17% year-over-year core revenue growth. Growth was driven by new products and new product launches at customers. In the Vision segment, new product revenue for the first quarter grew strong double digits versus last year and total new product revenue was greater than 30% of sales. Design wins nearly doubled year-over-year in the quarter. The book to bill in our Vision segment was 1.04 with solid bookings across the board. The Vision segment predominantly serves the medical market and as previously mentioned, we see solid market momentum as well as new product launch momentum, which we expect to continue as we progress through 2019. Our WOM business performed extremely well in the first quarter of 2019 continuing its momentum from the last few quarters. This is a testament both to the high demand for WOM's product offerings as well as commercial execution by the WOM team. In addition, we are very pleased with the continued momentum of our NDS product line. In the first quarter, NDS delivered its ninth consecutive quarter of year-over-year core revenue growth driven by new products such as 4K displays, wireless products and our new video image management and acquisition product or VIMA, which addresses the integrated operating room market. In addition, the business substantially improved its profitability and was a meaningful driver of our first quarter 2019 revenue and profit growth. Finally, our Detection & Analysis business continued to show solid momentum. New product launches around medical grade RFID and Machine Vision product offerings. In the first quarter of 2019 the business was a net contributor to our revenue growth with especially strong growth in its RFID and Machine Vision product offerings. Overall, we're pleased with the organic revenue growth and profitability that our teams achieved in the first quarter of 2019 and how strongly we continue to position ourselves for sustained growth going into 2019 and beyond with continued focus on expanding in medical markets. Despite the more uncertain macroeconomic climate, Novanta's leadership positions across diversified medical and industrial markets combined with our disciplined approach to M&A is providing a solid foundation for sustainable profitable growth. So with that, I will turn the call over to Robert to provide more details on our financial performance. Robert?
Robert Buckley: Thank you, Matthias and good morning everyone. We delivered $157.2 million in revenue in the first quarter of 2019, an increase of 7% on a reported basis. Our acquisitions resulted in an increase in revenue of $3.8 million or 2.6% and foreign currency exchange rate adversely impacted our revenue by $3.9 million, 2.6%. Consequently, organic growth was also 7% year-over-year. Organic growth came in higher than we anticipated as a result of customer timing, which we believe was partially caused by Brexit planning by our customers. First quarter 2019 GAAP gross profit was $66.3 million or 42% of sales. This compared to $62.2 million or 42% of sales in the first quarter of 2018. On a non-GAAP basis, first quarter 2019 adjusted gross profit was $68.6 million or 43.6% of sales compared to $64.6 million or 44% in the first quarter of 2018. First quarter R&D expenses were $14 million or 9% of sales compared to $12 million or 8% of sales in the first quarter of 2018. We now believe we have reached the level of investment required to drive our new product engine and to further penetrate high-growth markets. SG&A expenses in the first quarter were $32 million or 20% of sales versus $29 million or 20% of sales in the first quarter of 2018. The increase in year-over-year spending was partially driven by prior-year acquisitions and higher stock compensation expense. GAAP operating income was $14 million in the first of quarter 2019, compared to $17 million in 2018, whereas our non-GAAP operating income was $22.8 million or 14.5% of sales compared to $23.4 million or 15.9% in 2018. Adjusted EBITDA was just over $28 million in the first quarter of 2019 and this compared to $28 million in the first quarter of 2018. Interest expense was $2 million versus $2.4 million in the prior year and the weighted average interest rate on our senior credit facility was 3.8% in the first quarter of 2019. On the tax front, our GAAP tax rate was 0.6% for the first quarter of 2019. It different from the Canadian statutory rate of 29% driven largely by jurisdictional mix of income and windfall tax benefits from stock based compensation awards. On a non-GAAP basis our tax rate for the first quarter 2019 was 8.7%. This was more favorable than we anticipated as a result of the windfall tax benefits from stock-based compensation awards. This is a quarter, first-quarter only impact as we anticipate our tax rate to normalize to 20% in the second quarter or 18% for the full year. Our GAAP diluted earnings per share were $0.35 in the first quarter of 2019 compared to diluted earnings per share of $0.18 in the first quarter 2018. On a non-GAAP basis, adjusted earnings per share was $0.53 in the quarter, up 13% from $0.47 in the prior year. We ended the first quarter of 2019 with 35.5 million diluted weighted average shares outstanding compared to 35.4 million in 2018. First quarter operating cash flow was $5.5 million. This was lower than expected due to shipment linearity which negatively impacted working capital, the change of the Company's employee bonus plan from a semi-annual to an annual and a $4 million earn-out payment associated with the Zettlex acquisition, which was recorded as an operating cash outflow. As we look at the full year, we expect cash flow to recover. We ended the first quarter of 2019 with gross debt of $202 million and our gross leverage ratio was 1.62 times defined as gross debt divided by rolling 12-month pro forma EBITDA. Our net debt was $128 million as of the end of the first quarter, at roughly 1x. Our balance sheet is strong with ample acquisition capacity. In addition, our acquisition pipeline is very healthy and we continue to cultivate and evaluate potential targets. We're remaining disciplined and focused on driving attractive cash returns and long-term growth in our target markets. Turning to guidance. For the full year 2019, we are raising our adjusted diluted earnings per share expectations to a range of $2.36 to $2.42 and we continue to expect to be on track to achieving our previously issued revenue and profit expectations for the full year despite the current macroeconomic environment. For the second quarter of 2019, we expect GAAP revenue in the range of $153 million to $155 million. The lower growth expectations for the second quarter are driven by the Brexit dynamics we discussed earlier that benefited our first quarter and the final quarter of coping with the difficult year-over-year revenue comparisons in our Laser Quantum business. Adjusted gross margins are expected to be around 44% to 45% as some of our margin expansion actions begin to take effect. R&D expenses for the second quarter 2019 will remain around 9% of sales. And SG&A expenses in the second quarter are expected to be nearly 100 basis points lower than in the first quarter as a percent of sales due to the seasonality of equity compensation expense. Depreciation expense, which was about $3 million in the first quarter of 2019, will be similar in the second quarter and amortization expense will be around $6 million in the second quarter, in line with the first. We expect to see a non-GAAP tax rate of 20% in the second quarter and for the remainder of the year, giving us a full-year expected non-GAAP tax rate of 18%. For adjusted EBITDA, we expect a range of $29.5 million to $30.5 million. And finally, we expect adjusted EPS to be in the range of $0.53 to $0.55 compared to $0.51 in the second quarter of 2018. Diluted weighted average shares outstanding should be around the same as it was in the first quarter. As always, our guidance does not assume any significant impacts from foreign exchange rates. Despite a macroeconomic environment that includes trade wars, Brexit and industrial manufacturing uncertainty, we continue to believe in the strength of our portfolio and our employees to execute on our objectives for the year. We believe the investments we're making in R&D are driving further innovation and growth opportunities while our position in medical end markets gives us a portfolio with greater resilience to weather a more uncertain environment. We are very proud of the performance of our employees as evident in the first-quarter performance and look forward to continuing to deliver on our commitments to our employees, our customers and our shareholders. This concludes the prepared remarks. We'll now open the call up for questions. Thank you.
Operator: [Operator instructions] The first question will come from Lee Jagoda with CJS Securities.
Lee Jagoda: So I guess, first and foremost, can you -- I don't think you commented on full year revenue guidance. Did you reiterate that guidance?
Robert Buckley: We did, we reiterated.
Lee Jagoda: Okay. And then given the dynamic you described in Q2, I guess, pulling a little bit forward to Q1 because of Brexit, can you talk about some of the visibility you have into the back half with regard to new product launches and other things that give you the confidence to, I guess, reiterate the full-year revenue and then raise the EPS piece?
Matthijs Glastra: Lee, this is Matthijs. So, first of all, we will lap the year-over-year tough comps in the first half in Laser Quantum, right. So we expect that business to return back to growth in the second half. Secondly, we continue where we commented on in the prepared remarks, a continued momentum in our medical markets, which give us confidence to reiterate our guidance.
Lee Jagoda: Okay. And then, Robert, can you maybe talk a little bit more about the working capital impact in Q1? I know you have taken some time to rationalize some inventory as you bought a whole bunch more than you needed last year for cushion. So, can you talk about what's going on there and some of the efficiencies you're achieving as you're getting things going, moving through the system better?
Robert Buckley: Yes, sure. I mean -- so, first and foremost there were two unusual things that happened in the quarter, absent the net working capital, one of which is the Zettlex earn-out was paid out of our operating cash flows. And just as a consequence the type of earn-out [indiscernible] structure. The other is we moved our bonus payments from a semi-annual plan to an annual plan, which therefore resulted in a larger cash outlay in Q1 on a year-over-year comparables. And then finally, it was net working capital. So effectively net working capital was driven by shipments occurring later in the quarter. So our customers really retimed their shipments to the latter part of the quarter, which then flips back as you get into the second quarter. So if we look at the full-year 2019, we expect to get back on to our cash flows and similarly have a ratio close to where we were last year, meaning that roughly around 60% of EBITDA will convert down into cash flows.
Operator: The next question comes from Richard Eastman with Robert W. Baird.
Richard Eastman: Matthijs, could you maybe just speak to within the precision motion business just where we are from an adjusted gross margin standpoint? I mean did that, the 42.8%, did that come out kind of as modeled here for the first quarter, was it a bit low? And maybe just what the progression will look like there as you address some of the issues in that with the inventory side of things?
Matthijs Glastra: Yes. It's probably a little lower than we wanted, but I would say we have more confidence now in kind of the sequential improvement in that business. We know exactly what we need to do. We've kind of lapped some of the supplier issues that we think will subside after the second quarter and I think the team has a very solid plan to start addressing sequential improvement in gross margin. So a little lower than we wanted, but confident about the improvement trajectory.
Richard Eastman: Okay. All right. And then was there a Photonics book to bill that you could provide us in the quarter?
Matthijs Glastra: Yes, it was a little bit below 1. So I think, what is it, 0.98 order of magnitude.
Richard Eastman: Okay.
Matthijs Glastra: So again, it's a mix of a little bit of softness in bookings from the industrial side compensated with good bookings on the medical side. Mind you photonics is a bit more exposed to the industrial side.
Robert Buckley: A lot of that is due to the dynamics of the Laser Quantum business in there. So that [indiscernible].
Richard Eastman: Yes. Is there an insight on, again realizing the first half tough comps at Laser Quantum, is there any insight into the, I mean, when would you might see orders kind of pick up there? You kind of on a one-quarter ship schedule or might we start to see orders pick up in the second quarter around Laser Quantum for second half shipment?
Matthijs Glastra: We expect to, yes, no, we expect to, those orders to pick up in the third quarter, Rick.
Richard Eastman: Okay, third quarter. Okay. And just maybe, just a last thought around Photonics. Could you just give a, give us a sense of how does Photonics look for the full year from a growth rate standpoint? I mean, we have spoken to maybe core growth around 5% to 7% for the full year for all of Novanta. Does this, does the Photonics play catch-up in the second half? Do they get to the low end of that kind of core growth or will they fall presumably a bit below that this year, just as we try to play catch-up?
Matthijs Glastra: Yes, so we see Photonics returning to growth in the second half and that's largely as a consequence of Laser Quantum business normalizing. And so you're going to go from the negative year-over-year performance in the first half to a positive performance in the second half. I think our Vision segment for the first half is more of a double-digit growth business and then as it laps into the second half, you'll see it get into the high single-digit type performance as it faces more normal comps. And then Precision Motion will probably be in the low single digit territory, really kind of impacted by difficult year-over-year Q3.
Richard Eastman: Okay.
Robert Buckley: Yes. So to summarize, Rick, Vision is stronger, right, is having a much higher momentum, yes, than we initially modeled, on the back of new products as well as overall market momentum. Photonics having a little bit more headwind.
Richard Eastman: Yes. And we speak to, we speak to the overall business and kind of the growth rates by the, literally by the technologies here. But I'm curious is there any particular inflection whether it would be in the U.S. or Europe or are we really kind of speaking to the right thing here with the customers and the technologies versus the geographies, if you follow me?
Matthijs Glastra: Yes. So what is the question?
Richard Eastman: Yes, what is the question, [indiscernible]. But just curious between the U.S. and Europe, I think you kind of addressed China and that seemed reasonable. But between U.S. and Europe, just in local currency, so currency aside, any inflection in the business that surprised you, whether it be medical or industrial?
Matthijs Glastra: Yes. So, medical is robust across geographies, right. So, we don't see any geographical, let's say, differences. I mean, obviously the U.S. is very strong in medical, but -- so are other geographies, right. As I mentioned in my prepared remarks, we do see -- we saw softening in China for us, but we do see that spreading. You see that confirmed through the rest of Asia, Japan, Europe, Germany. You do see it backed up by economic indicators in the last 30 to 60 days, right. And then of course what we also would say, it's not like every application across the board. I would say though that even in certain markets that we feel have long-term secular trends like factory automation have been affected, right. So that's different from what, I would say, our view 90 days ago, right. So that's a little bit more subdued. Now, over the cycles longer term, the trends are indisputably positive there. But it's fair to say that there is a little bit of a lull in that area. Germany is not doing great. Overall, we are growing facet in the market, but we're doing that against a tide that is increasingly more uncertain.
Operator: [Operator instructions] Our next question is from Brian Drab with William Blair. Please go ahead.
Unidentified Analyst: Hi. This is [indiscernible] on for Brian today. I want to talk about consolidated margins. What were the main drivers of the headwind in the first quarter, both gross and EBITDA margins and how do you see those progressing over the remainder of the year and what will be the main drivers of expansion or headwind for the remainder of the year?
Robert Buckley: Yes, I think for the most part our first quarter gross margins came in where we expected and similarly on the EBITDA front. As we look, it would be a sequential uptick as we get into the second quarter both in the gross margins as well as the EBITDA performance, it's evident in the guidance that we provided. And as we look at the full year, we're still kind of on track to that 100 basis points improvement in gross margin. And that's being driven by a combination of things; one, the cost of poor quality, we've gotten a handle on now, we're starting to reduce the cost implications of that; and then two, our continuous improvement initiatives are starting to make some headway; and then three, we've taken some restructuring actions to ensure that we really ground that and get certainty around achieving that gross margin performance. So, for the most part, we feel pretty good about that 100 basis points a year type of expansion and what we expect for 2019.
Unidentified Analyst: Thank you. And just on the poor quality issue, can you give any more detail around what steps are being taken to correct that and when that will be fully corrected?
Matthijs Glastra: Yes. Well, so, this is Matthijs, Joe. So, we've commented in the past we were struggling in our Precision Motion segment. We do have a handle on the core issues there now and are transferring our supply chains towards the, kind of the new targeted situation. We expect to have that fully done by the end of Q2, after which we will feel that the majority of the issues in that segment are behind us. And I would say in the rest of the segment, it's part of our continuous improvement efforts, right. It's just kind of basically steadily chipping away at the issue in an incremental fashion, yes. Of course there is many other drivers of gross margin improvement, whether it's productivity, material productivity as well as cost of poor quality, right, as well as volume and volume leverage.
Unidentified Analyst: Sure. Thank you. And just one more. Where are you in restructuring the consumables business and what's the plan and timing for margin expansion related to that?
Robert Buckley: Well, I think one of the first thing that you'll notice in the Vision segment is that the gross margins, they ticked up a little bit from the fourth quarter and that we continue to expect to see some margin expansion in that segment on a year-over-year basis as we look at the full year. So, that is first and foremost conditional on the restructuring benefits that we see leading into the second half of the year and I think that we feel pretty good about that. Also, the increased volume that we're seeing in that business in the first half is helping drive that expansion, which means that we are getting additional leverage out of our overhead structures and so we feel pretty good about that. So even though, it's got a little bit of a negative mix shift there, we've been able to bring more of that volume in-house into our own factories versus with the contract manufacturers. So overall, we feel good that that segment is going to improve the gross margins if we look at 2019 and then it's on that track for that improvement for the foreseeable future. In terms of like step function change in that segment, that's really conditional upon us building out a low-cost manufacturing facility. We will make a final decision on that by the end of the year.
Matthijs Glastra: Yes. And I would like to comment the restructuring actions that you mentioned that they are not necessarily targeted at the consumable business. We're basically consolidating manufacturing operations over NDS display and integrated OR product facility into our German facility. So, that's a gross margin enhancer for 2020 an the latter part of 2019.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Matthijs Glastra for any closing remarks.
Matthijs Glastra: So to summarize, in the first quarter of 2019 Novanta delivered a solid performance in an uncertain macroeconomic environment. Our focus on accelerating profitable growth and the diversity and resilience of our businesses was evident in our strong financial results. We continue to feel good about the positioning of our businesses around secular macro growth drivers with over half of our revenue in medical markets. Novanta's diversification and relentless focus on leadership position across a variety of medical and industrial growth markets is providing a solid foundation for sustainable profitable growth in today's current macroeconomic backdrop. We see a long-term need for our motion, vision and photonics capabilities in a large variety of applications on the back of macro trends of Industry 4.0, precision medicine and healthcare productivity. We therefore continue to remain excited about the applications we play in and the positions we have and continue to invest in long-term organic growth and innovation. Our growth strategy is sound based on multiple growth drivers organically and through M&A and we are well on our way to execute on our long-term strategy and the 2020 direction we articulated three years ago. In closing, I would like to thank our customers, our employees and our shareholders for their ongoing support and particularly thankful for the strong contribution and execution of our teams of committed Novanta employees. It's a true pleasure and honor to lead this great company. We appreciate your interest in the Company and your participation in today's call. I look forward to joining all of you in several months on our second quarter 2019 earnings call. Thank you very much. This call is now adjourned.
Operator: Thank you, sir. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.